Corrado De Gasperis: Good morning, everyone. This is Corrado De Gasperis and welcome to our First Quarter Zoom call. I'll provide a brief summary of the financial information included in our press release from this morning and from our quarterly report filed on Form 10-Q last night, including our progress and specific performance objectives, especially our silver and gold exploration and developments MCU, our mercury remediation business, that is now up and running in the Philippines, where we actually reported our first revenues this week. And the good progresses on lithium-ion battery recycling business, LiNiCo, whose scope is even expanding and some major, major achievements on our financial position. If you don't have a copy of today's press release, you'll find a copy on our website www.comstockmining.com by just clicking on the Press Releases tab on the main menu bar. Our Form 10-Q is also available via EDGAR on www.sec.gov. Please let me remind you that we may make forward-looking statements on this call, including our 2021 outlook and our plans for the next three years. Any statements relating to matters that are not historical facts, may constitute forward-looking statements. Our statements are based on current expectations and are subject to the same risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are detailed in previous reports filed by the Company and the SEC and in this morning's press release. And all forward-looking statements made during the call are subject to those same and other risks that we can identify. Once we complete the prepared remarks, Zach will direct all zooming inquiries which please use the raise hand function and he will convey them to me and I'll happily answer that. If you're not using Zoom, you can follow up with us after the call directly via our website with any additional questions, any inquiries that you may have. If you guys could you use the Q&A function rather than the raise hand function for Zach so that he will then direct all those questions to me and I can answer them. Okay. So in just three short months, we saw a dramatic leap in the strength of our balance sheet, where our assets increased from $43 million -- just at $43 million at year-end to over $70 million by the end of the first quarter, with our debt also completely eliminated. We've made strategic investments. We've made strategic secured investments with MCU, LiNiCo and PSI, all yielding and all with unique IP that will commercializing to growth, high gross sales and cash generators for us. A huge asset increase was driven primarily by these five things, increases in our investments from a little over $3 million to almost $10 million, driven primarily by LiNiCo and MCU in the Philippines, extinguishment of all of our debt obligations and an increase in cash to over $10 million. So debt is zero, gone, an increase in our secured monthly cash interest paying note receivable with Tonogold by over $1 million and an increase in a new derivative asset which relates to shares, the 3 million shares that were contributed to LiNiCo as part of our investment. The derivative asset is actually the economic value of those shares in excess of our commitment that comes back to Comstock that we retained so a tremendous, tremendous improvement in the balance sheet. Turning to the P&L. Our operating costs were down dramatically in the quarter. They were driven by a couple of non-recurring but very positive items. We had one item, which is the accounting for a large reimbursement receivable, a new reimbursement receivable from Tonogold during the quarter of over $800,000 that was associated with an accelerated land payment that we had made during the quarter that we get reimbursed for. The reimbursement was actually added to the secured interest bearing note that Tono pays us cash interest on monthly. We also had to update our estimated reclamation liability, that update resulted in a decrease in the liability by almost $1 million. Both those items benefited us positively during the quarter. We also recorded overall net income of over $8 million, principally driven by the value of that increased derivative asset that I mentioned related to the investment LiNiCo. And our quarter ended with our total outstanding shares at March 31st of 42,455,515, that's the same exact number that we reported on our last quarterly call and that includes the 4 million that was issued during the recent capital raise and it includes the 3 million that was issued with the LiNiCo commitment. So that number is all in. As reported, again, our cash remains over $10 million, plus we have multiple current non-core asset sales that are in progress and waiting to be closed, including our industrial and commercial non-mining properties totaling $13 million, all under contract for sale. We do expect those to close this year. We're seeing a tremendous now progress and the opportunity zone, not just progress in the fund raising capital, which is doing very effectively at a very significantly higher valuation than last year, but we've been literally getting increase on a weekly basis for companies coming into the opportunity zone for companies looking for land for companies looking for buildings. And as of last month, our manufacturing facility owned by the opportunity fund is now fully leased with two brand new tenants. The airport is fully open and operational. And the $335,000 that Comstock has on its balance sheet that $335,000 being part of our $70 million of assets on our balance sheet is now valued just based on the most recent capital raise at over $12 million. As I mentioned, fund raising money at $1.80, that puts our investment value at over $12 million. But when you look at the valuation of the assets held by the fund, when you just do the range of land comps Water Right comps, sewer right comps that the fund owns, the value of those shares are closer to $3 to $6 a share, putting our investment at closer to the $20 million to $40 million. That's not a market validated assessment. The $12 million is the $20 million to 40 million is what we see the land and underlying land value of that fund holding relative to our investment. So all in all, in any context, tremendous progress there. We still hold well over 11 million common shares of Tonogold, that's in addition to the 5.55 million secured note receivable, that's due in the next 10 months. And so, today, using today's value, both those assets represent over $7.5 million of combined value. When you take those contracts to sell our properties at $13 million and you take the Tonogold Securities and secured note values and you combine them to be over $20 million, combined with our existing cash representing $30 million in potential liquidity over the next 12 months. It also is in conjunction with currently sitting with zero debt. So that's the balance sheet, that's financial position. Let me turn to our three lines of businesses and considering that gold and silver is up over 1820 today, let me start with those gold and silver properties. During the first quarter, we finally received the full airborne geophysical survey of the entire Comstock District properties. We've published some of the high level pictures associated with those. The survey includes both magnetic and proprietary electromagnetic surveys, within almost 1,200 line kilometers surveyed, with the data now finally fully received, fully incorporated into our database and full interpretation ongoing. I think I mentioned on the last call, it was very remarkable about this data is the clarity of the three dimensional images of our districts geological structures. But what's even more remarkable is that 3D clarity is that depth and often in excess of 1,200 feet below the surface. Our updated modeling on the Dayton is now well underway. We will publish a series of interpretations and developments once the data, the geophysical data itself is properly interpreted. But that'll be done even well before it's fully incorporated into our models and well before we publish our full technical report. We've engaged buried Aubert. We've had a number of planning sessions with them, providing detailed overview of our geological cross-sections, our level plans and all the work that has been done in the Dayton to integrate that into a final updated resource model. Their work will include auditing the completion of the model and the review and publication of all the technical data that will go in the report. I probably should have mentioned that we already have a previously published existing resource estimate for the Dayton. That estimate was almost 0.5 million gold equivalent ounces in measured and indicated and inferred resources. These are near surface oxide ore resources and we've even done some preliminary economic shells where just 80,000 ounces of that gold and 800,000 ounces of that silver to produce nearly $100 million in cash over a very short mine life. Our work will continue to build and develop on those already existing resource estimates, with the new technical report that will be standalone for the Dayton Resource coming this year. For Occidental and Lucerne, Tono has finally made some very good progress in publishing drill results. And these are properties, all of these properties are where we hold significant numbers of NSR royalties and portfolio of NSR royalties if you will. And all those Northern Mineral properties located in Storey County, including Lucerne, including the entire length of the Occidental straight claims and including all the Gold Hill targets. Tono is now preparing a technical report with resource estimates that are already completed for Lucerne and are now developing and working towards the addition of a potential resource estimate for the southern part of the Occidental. Tono has recently published the results of three new drill holes from the southern part of the Occidental, which I'd just like to overview with you for just a couple of minutes here. These are not deep hard rock drilling targets. These are very, very near surface oxide ores with all three holes hitting excellent lengths and grades of near-surface mineralization. They reported hole number TC-007, which included 70 feet of over a 10th of an ounce of gold, including about 25 feet of over a quarter of an ounce of gold per ton, all near surface each one of those reported results included nearly one ounce per ton of silver. And that's literally 0.95 ounces per ton of silver concurrent with every ounce of gold that was discovered. They also reported hole TC-006, which at over 50 feet of over 0.05 ounces per ton of gold, including 15 feet of a 10th of ounce per gold. And again in that same scenario, almost an ounce of ton per silver concurrent with the ounces of gold, just to put that in contrast, gold grades of 0.03 ounces per ton, not a 10th of an ounce, not a quarter of an ounce, but 0.03 are strongly economics in this environment, strong economic. So Tono is finally ramping up the near surface drilling that and they just recently announced that they're going to add another drill rig to the Southern Occidental in strong part because of these good results, planning an additional 23 holes, an additional 7,500 feet of near surface higher grade targets. They plan now to fully complete, accelerate and fully complete that near surface oxide ore drilling, hopefully come up with the resource estimate relating to the southern part of the Occidental, adding that to those certain resource estimate and putting out a technical report for sort of those combined multiple resources. Again, we have royalties on all these properties. But in overview, the Tono transaction has turned out extremely well for us. We have annual return reimbursements of over $2 million. We have a monthly cash income. Now that would be annualized at almost $700,000 on that 12% secured cash paying, note remember that security is on the entirety of Lucerne and this mineral resource package. We have 1.5% NSR royalties on all the properties including Lucerne, including the Occidental. We have 2.5% on the higher grade more prospective Northern Comstock lode claims. And we have an option to take that up by an additional 3%, so 5.5% royalty and the most prospective parts of the lode which is just huge. Let me get more granular here for us. Turning to the mercury remediation business. During the first quarter, we invested our full 25% of MCU. So we took that ownership plan in option right to fruition, plus of course we own directly in addition to that 50% of the MCU Philippines joint venture, putting us at 62.5% of all of MCUs participation. Last week, in the Philippines, we received our first order for 300 cubic meters of clean sand and gravel and the last truckload of it was picked up yesterday. This is for a contractor of a flood control project just 7 kilometers away from our operation. And they already require another 4,000 cubic meters of 2 inch clean gravel, plus a whole ton of cobble rock. Our process cleans the mercury out of the soils. They'd also cleans these higher larger rocks. All of which we clean we produce. We have two other sand and gravel buyers that are currently negotiating with us for more of the clean offtake. There seems to be monstrous demand for Brandon South sand and gravel certainly in the Philippines with all the construction that's going on. Having said that, there is an even bigger sand and gravel, scarcity, apparently, globally that we've been reading upon and understanding, so we are in very, very good position there. The gold and mercury content have been very, very low. To begin with that as expected for the lower part of the river. Basically we starting in the lower part of the river and we're continuously moving ourselves up river. Later this week or next week, we'll publish some photographs of the operation, operating in current situation as it moves up river. So you can get an appreciation for the scale of what we're doing. We're starting to see now more meaningful amounts of mercury content as we sample up river we see even more. So this is really honestly the first month, where we've had what I would call stable continuously operating activities. In March, we just got started with a lot of government oversight. In April, we had renewed the facility twice as we get situated. And there were some flooding and with typhoon weather, all that settling in and that's really great so far. So we look like this month is really the beginning of this thing moving forward. I want everybody to recall that we've earned our 50% equity. Our additional 50% equity in the Philippine operation with a $2 million secured loan. And that $2 million secured loan has accelerated repayment provisions. So as the revenue starts generating, as the cash starts generating, we start getting repaid on that loan. We retained our 50% ownership in a project that has a potential life span of six to nine years, so paying very, very well beyond even the repayment -- recapture of our investment. Moving on the LiNiCo. During the first quarter, as everyone knows, we acquired nearly half of LiNiCo in one fell swoop with the rates already committed and the research already committed to owning over 64%. Critical to this acquisition with securing the previously permitted existing state of the art battery metal recycling facility right here in the Tahoe Reno Industrial Center in Storey County, just 10 minutes, 10-15 minutes from our Silver Springs properties. The plant sits on 11 acres of prime industrial land and could not be in a better position in the U.S. directly across the street from the Gigafactory to move into this business. We assess the plant, the building, the lab facilities, the water treatment facility, the air quality control, the equipment to be valued at well over $25 million. LiNiCo secured the acquisition of that facility for $14 million, Comstock has the security over that facility. And so, it couldn't be more perfectly situated to receive crush, separate battery materials into black mass. The first, when we first secured this facility, then we committed $10.75 million for that 64% of LiNiCo, which puts it at a post deal valuation of only about $17 million. As I mentioned, we feel like facilities already worth that, but that's not what's exciting for us. What's exciting for us is to have a 20,000 ton battery metal recycling facility that can produce pure cathodes. And just last week, LiNiCo has selected the ECM renewal process solutions in conjunction with another company called Plain Sight Innovations, highly experienced designers and builders of large-scale renewable material manufacturing facilities to build our crushing and separating system that produces the valuable black mass plus of course separating all the byproducts copper steel et cetera. This will allow us now to finalize our permit submissions and enable the first major phase of our business plan while green line and their associated engineers finalized their engineering design and construction for the Phase II part of the operation, which is then to take that black mass all the way to pure cathode materials. We've had another development though. LiNiCo has also engaged in PSI and RPS to develop a second process for taking wet masked to pure lithium carbonate nickel cobalt magnesium and graphite. We've always intended to have multiple product lines downstream. But we were so impressed with the work that RPS and PSI doing on the crushing system, and with the technology that they already have in-house for solid construction to allow us to develop our own IP that would produce peers gears commodity metals. So the business end markets are expanding from the very same source of the battery metal material. Let me conclude my prepared remarks by emphasizing that we've established and published at last year's our Annual General Meeting very, very specific performance objectives that's consistent with everything that I just updated you on and everything else that we're doing for the next three years. So that includes commercializing these high growth ESG compliant renewable businesses. It includes acquiring additional high growth cash generating ESG businesses, establishing of course and growing our existing mineral properties and monetizing the non-strategic assets to fund the growth of these new businesses. The bottom line is we're extremely focused on only the items, the time frames that we've published. And during this time frame, we believe it will become extremely clear, clear than it is now, for sure, but clear than we even could be until we're communicating some of these businesses beyond MCU, beyond LiNiCo that were pretty hardcore, right, when it comes to these renewable climate and smart manufacturing businesses. Our moneys were amounted, the program we designed directly links these strategic performance objectives with our goal of delivering 0.5 billion in shareholder value. At least $12 a share and then aligning all of our people with 100% performance based stock-based compensation. That program has been published in January. It's crystal clear, if we deliver our shareholders are rewarded, if we don't deliver, we don't get anything. So I'll pause on that Zach and maybe turn to the Q&A through this the Zoom Q&A mechanism.
A - Zach Spencer: Yes. That's great, Corrado. Not surprisingly, we received quite a few questions while you're making the presentation. And also, not surprisingly, you addressed a lot of those questions with your presentation. However, we do have, but a question that was just a little more detail of the person is asking for a little more detail. What is the timing of the mineral resource estimate and preliminary economic assessment and feasibility studies for Dayton and Spring Valley?
Corrado De Gasperis: So we have a schedule. Now, it's precise Mike Norred, who leads all of our resource engineering and resource estimated work has taken the data that Larry Martin, our Chief Geologist and Mike Howe, our geologist has spent I'd say almost a year pulling together and the schedule has about three months, right, to create the resource estimate, which is now fully underway, update the resource estimate and cooperate with buried Aubert for the review and publication of the report the preliminary economic assessment. And so, to be clear second report that would follow this one would include a certain amount of drilling that would occur in the Dayton. That drill program has already been defined by our team as we review it. We will incorporate it and publish it as part of the first technical report. The first technical report will discuss certain economic considerations. But it won't be technically pay a PEA. So what we intend to do is to publish the resource estimate first. Then, do some amount of drilling, some amount of development, some amount of economic profiling. And then, the second report would include a preliminary economic assessment or a PEA. We wouldn't expect that report until 2022, because in between the first report and the second report, we have some really exciting drilling to do.
Zach Spencer: And moving on to one of our other segment, you mentioned MCU revenue, what are your expectations for the remainder of the year?
Corrado De Gasperis: So the system in the Philippines, there's about 150 tons per hour. It's actually a faster system, than the mercury remediation system we have here on the Comstock, which is more of a pilot 25-ton per hour of testing system. We are up and running as I mentioned in sand and gravel. All of our profile show that if we're running the system full and selling all the sand and gravel that were making a profit without any mercury and gold content. So this is a huge de-risker for us and to be really blunt. We had no intentions of being a sand and gravel producer. We had intentions of remediating the soil, extracting the mercury, and then extracting the gold and being a gold producer and soil remediator. So in other words, the soils would have been going back into the environment clean. The fact that their salable was up kind of a surprise it was a pleasant surprise for us. So it's de-risked. So we can guide to that, right that we will be in a positive. We can see that now, that's what we expected for sure. That's not the goal. The goal is to be able to remediate meaningful amounts of mercury and get meaningful amounts of gold. That's what we expect. We don't have enough data yet to be projecting, grades of gold and revenues. But over the next month or two, we'll start to get more data. As I mentioned on the call, on the prior part of the call, the grades improve as we move up river. This is factual based on how the artisanal mining originated the waste material into the river. Most of it's at the top of the river, much as it flows down obviously, most because of the water flow and the gravity. But even saying, having said that, most of it is trapped in the upper part of the river. So I guess the point will be as we're sampling and by the way as we're operating, we have like column advanced teams constantly sampling up river. That's mostly to determine what the best in next location to move the remediation processes. But it also starts to give us intelligence on higher mercury contents and higher gold contents as we go up the river. So the answer is we don't know enough yet. I can say this, that when we modeled the -- when we modeled the original plan, it gets meaningfully profitable. We've just a 10th of a gram of gold per ton. A 10th of a gram is a very, very, very tiny number. We think of sort of the low end of the business model range is 1 gram right literally 10 times more. So it's in that range that we'll start to be talking about ranges of 0.15 to 1 grams per ton coming out of these amalgams. Of course, we're not limited to that. They could be significantly higher. But at those numbers were going to be, were going to be very profitable. So we're excited to see that develop. We're excited that, I mean, literally for the last four days, three, four trucks a day were leaving our site, taking the sand and gravel that they purchased. So the fact that we're operating stably on a daily basis, we're shipping daily, starting to generate good revenue, it's, it's a big milestone for us.
Zach Spencer: Our next question or first statement. Thank you for providing additional information on LiNiCo in your presentation. As you know, this sector has its challenges such as securing permits and supply agreement. Can you speak as much as you can to these to two topics?
Corrado De Gasperis: Yes, so I have to tell you all the lithium battery recycling business has been for me like the most engaged, the most fun over the last two months that I've had in quite a long time. There are complexities. There are meaningful complexities that we're thriving on right now. They seemed to fall right into our wheelhouse. So we think of it, think of the business in three major phases. And the first phase is securing feedstock receipt and storage of materials. You think that that would be the simplest part of the process. It's actually by far the most complex part of the process, because the retro rules, the environmental laws associated with just the moving of battery material and the storing of battery material, which is incredibly complex. It's especially complex if you don't have retro permits, which pretty much none of the battery metal recyclers are pursuing, because retro permits, full retro permits are equivalent to our need of permits. I mean, it's potentially half a decade right to achieve those and that's not part of our business plan either. But what is part of our business plan is not only to synchronize the receipt annually of 20,000 tons of batteries per year to our state-of-the-art facility, but also to have alternative sites for storage. And this is where we think we have a big competitive advantage that we not only have an existing state-of-the-art facility. I mean we have 10 square miles of real estate right in the same county on the Comstock properties, a number of those, which are perfectly situated for receipt of these types of materials. So we've got a sort of combined strategy of overseeing storage and partnering with the suppliers of this deterioration. And then, of course being at the highest end of producing black mass, the highest end of producing cathodes, pure cathodes and then highest end of now incorporating a whole other line, which is to commodity materials. Having said that, right, to be, to give you as much information as possible as requested, we have designed the platform. We have assessed the regulatory footprint and requirements. We see no major obstacles. And we're about two weeks away of implementation mode of starting to reach out to the market, engage in material contracts and then start the process of their supply chain coming to us. The second phase of the business is the crushing, separating and producing of black mass. And we've now designed the system, when I say we, obviously, the experts in the field and the experts in the industry that do this kind of thing, that we believe will be the most state of the art -- in terms of crushing, separating. And the outcome of that is the purest black mass. To have the purest quality of black mass and so that second phase, we're in the throes of that right now in a manner that will allow us to finalize our permits and get that all in place. The third phase, which is, it's important to say that Phase I in itself is hugely value created. If you think of Phase 1, we're really not as much in the mind of just synchronizing 20,000 tons of materials through one facility. I guess we think like miners. So we think of these batteries as Ore Reserves. So we're of the mind of building reserves that are meaningfully greater than the capacity at which will be producing initially. So there is huge value in building reserves. The second value is in having the capability to produce pure black mass and that salable right. So if the world ended downstream for some reason, which there's no reason. But if the world, we have a profitable business, just producing storing, selling black mass, obviously that's not the goal. And then, the third phase is to be able to produce the purest of not only nickel, cobalt, lithium, magnesium, graphite, but also pure cathode materials which have extremely high market value. And in all of those spectrums, what we'd love about this business in all of those spectrums, the values are going up, right. So the business is growing exponentially in terms of volume and the values of the core materials are going up. So I couldn't be more exciting right now. There'll be more to share as we move forward in the permit filings, in the start and the receipt of storage. We're also looking at some very, very interesting complements to that line of business that will dramatically enhance what we can do and that -- some of that's tied to the regulatory restrictions. So containment, transportation, there's breakthroughs in the market for that stuff that we are in direct talks with. So a lot of exciting things are going to come from LiNiCo.
Zach Spencer: All right. Well, we have a couple of questions about business here on the Comstock Lode. To the extent possible, could you please comment on some of the management changes that gold and how it might affect their exploration plans. And then, in Comstock also picked up two patented mining things at the north end of the Occidental trend, can you comment on their significance.
Corrado De Gasperis: Yes. So with Tono management, I don't want to -- I only really speak to what's known, what standard is that they made a management change, in terms of their CEO, Brian Metzenheim, who is their Chief Geologist and exceptional technical professional, has agreed to be the Interim CEO. Brian, we know very well. We worked very closely with and he has been leading all of the drill program results. We always thought that combined drilling program of going after some very, very deep exceptionally high grade targets on the northern part of the lode, combined with some near surface targets complementing Lucerne at the southern part of the Occidental trend was the right strategy. They seemed to go heavy on the deeper targets first. But now it seems to be rebalancing to both targets, which we think we agree with and we think is the right strategy. So I don't think that they're going to sort of miss the beat with the Occidental, because the Occidental is -- it's just easier to drill. You have near surface targets. I was surprised by the grades I have to say, like we knew there is gold and silver grades there near surface. We knew there were oxide ores. We are reasonably confident they are economic. But the grades that came out in the three holes and when you look at their press release and the profile of the proximity to the surface and the trend that they're drilling into, after that that's what we like. I don't think, I don't think a lot of people appreciate necessarily well that. The Occidental, the southern part of the Occidental in Lucerne are almost like twins. They're two new surface resources are sitting right next to each other. So there is potential for remarkable value aggregation there. So yes, I think Brian is Interim CEO so I guess that means they're probably considering another CEO. But when it comes to what the Company is right now, it's an exploration drilling company you know Brian, the exploration driller, so I think they are good there.
Zach Spencer: And then, we have a question about the Daney ramps at the other end of the trend and they wanted to know -- this shareholder wants to know if we still retain the mineral rights to?
Corrado De Gasperis: Yes, there is not, we don't -- it's a good question. Generally speaking, every time we do something, we would want to retain them in our -- it's just as a point of velocity. But we don't -- we have the Daney, we have the Daney patent, which parts right up to the Daney Ranch that's actually what the initial cause of us acquiring the Ranch was. We were acquiring 400 acres of mineral properties including the Daney patent in the Daney original mine works, that both freight up to the Ranch. And we've certainly retained all of that, that's what we were acquiring in the first place. We don't really see meaningful mineral prospects beyond the patent into the Ranch area. So we have a 2-year leased option. They have the right, they are leasing facility now, paying very good monthly rent to us with the right to acquire it in September of next year. We suspect that they will acquire it. There is an 90 plus percent chance that that's what would occur. If they didn't, right, which is not really I thought that's crossed our line. We'd be happy. It's a phenomenal property and every property on Highway 50 or any property there about the Highway 50 goes up in value like every month. So we're getting a good price, they'll get a good property, but I don't think there's any minimum implications to really think about there.
Zach Spencer: All right. And following up on that, we have a question. Did the first and understand that the drilling comes after the updated technical report?
Corrado De Gasperis: Yes, the first technical report we will include a new resource estimate. We'll include the publication, the details of the drill program. And we'll have some senses of economics, but it won't be a PEA. The drilling would then follow or be concurrent with the publishing of that report. And then, the sequence would be the result of that drilling would then be incorporated into a second technical report that we intend. The second technical report, I mean, there could be three or four reports. So just to be precise, the second technical report could simply be meaningfully expanded resource estimate as a result of the drilling. And then, the third report could be Preliminary Economic Assessment. And the reason for that is not any notion of delay or deferral. It's that if the resource expanded meaningfully, which is what we would intend, we'd like to drilling, then, economic analysis would have to expand to correspond with what we now think the mine potential is. So there is a little bit of dynamic there. But, yes, the intention would be report drill report.
Zach Spencer: Okay. And then, we have a shareholder, who wants to drill down a little on the MCU Philippines. They would like to know how that loan will be repaid if there will be what currency will be dollars or the Philippines pesos?
Corrado De Gasperis: So the way that it's structured, it's a secured loan. And we get -- so there is a joint venture in the Philippines. And we have a great joint venture partner like I was saying today that, if we could be operating in 15 countries, I would wish that our joint venture in and if we had to have joint venture partners, which you don't always have dates for sure. If we had to have joint ventures, we want one that's just like there's one that we have there. So the way that the structure is works, that 75% of the profits that come out of the joint venture are prioritized to repaying us first. So that's how it works. We essentially, operationally, locally, obviously, we have to work in local currency. But everything that comes out of there, is U.S. dollar based. So we don't -- we're not taking any currency risk, it's all US dollar-based in terms of what the loan is, and it's all U.S. dollar-based in terms of what's being repaid. The local generation will be in local currency immediately converted to U.S. dollars.
Zach Spencer: And yes, this is a very important topic for Comstock Mining. And we have a question. Does zero debt means that we no longer have an environmental obligation?
Corrado De Gasperis: So if you look at the balance sheet, there is almost no liabilities left. There is almost no current liabilities left, right, year in the hundreds of thousands, it's nothing -- there is now that obligation is zero. We have one only one meaningful liability, which is about a $6 million, a $7 million reclamation liability and it's a long, long liability that's -- that's intended, required to cover the ultimate reclamation of our leaching operations at American Flat. Okay. So that liability is estimated. As there it's estimated as is the Company or I'm sorry, the EPA, the Nevada Environmental Protection Agency would have to assume responsibility and do the work for us, which tend to mean that they put a ton of administrative cost on top but a ton of project management cost on top. All meaning that ultimately the winning of the Company in order to spend over I don't know, you know 10-15 years it would be a lot less in my opinion than the liability that we're required to report on the balance sheet. The net liability doesn't even begin until we're done. It's a mining and processing activities. Right. So it's real, it's ultimately along the line obligation. But it doesn't have any current impact on our financial position liquidity or anything like that. So we do have reclamation liability, it's required by law for all mining activities like ours. It did it some -- it's great to point out like last year, we finished the small not last year. But a few years ago, we finished a small reclamation on the Keystone Mine and Lucerne. And because we did it ourselves we did it concurrently. It dropped our reclamation liability in the state by $0.5 million. And that's an example that sort of corroborates how I think this liability. When we do the work ourselves and we'll do it properly like its the estimate is higher than reality. But in this case, most of those are to the leaching facility which wouldn't even start until we were done mining. When you think that even in Tonos best case scenario, you wouldn't be thinking about Mining Lucerne for a couple of years, right? And then, how long would you mind and then, after that you'd start doing remediation. So it's a long way off.
Zach Spencer: All right. This just gives you can tell that people do read our 10-Qs and our 10-K, we filed as well as our press releases and the review of our presentation. Quite a few people have a similar question on the call today and here is one that several people have asked. Would you please summarize expected sources of cash and timing to be realized over the next 12 months associated with asset sales, sales of marketable securities and notes receivable?
Corrado De Gasperis: Absolutely. That's a great question. So first and foremost, we have a total of over $13 million, that's going to come from Silver Springs, Opportunity Fund for the sale of the 98 acres to 160 acres and some advances that we've made. That money is, it's important to know that Silver Springs Opportunity Fund has brought a meaningful capital over the last two years, even more important to know that all of the prerequisite obligations that it had acquiring the airport, acquiring the manufacturing facility, paying for the option on a massive bulk purchase of land in real and water rights are all fine, are all done now. Okay. So as all that capital is raising in, the fund was addressing its commitments timely all the way through. It's very next commitment is to Comstock for closing on the 98 acres the 160 acres and some of the advances. So we expect $13 million plus in the next three to four months. Tonogold we have over 11 million common shares. We would expect $5 million, $6 million, $7 million, $8 million come in not in the rush there, but if we could comfortably say over the next 12 months. Tonogold has a note receivable to us that secured pays of cash interest every month, almost $60,000 a month. But that's now due March 31st of 2022. So that's another $5.5 million. So those are the main sources from securities, notes receivable, asset sales totaling over $20 million. So that's the timeframe.
Zach Spencer: And we typically get this question every call. And people just want to know about the current stock value. They've seen a downward trend this month. And we're just hoping you could just provide your perspective on that.
Corrado De Gasperis: Yes, I will. So obviously, there has been volatility, there has been a lot of interest. We've spent in the last couple of months super dedicated on MCU getting up and running, super dedicated on LiNiCo 's plans being fully scheduled. I will tell you, it's been fun. We've been working 18 hours a day like we are so engaged in the LiNiCo development, the schedules, the plans, they're just outstanding in addition to that. And I published this in the last press release and in my comments. We've been working on an additional transaction that is extremely complementary to everything that we're talking about right now. It will with without question, undoubtedly, undoubtedly demonstrate how hard core we are with the material science, with the manufacturing, with the revenue and with the cash generating potential of our lines of businesses. We're going to have another line of business, okay. And concurrent to that and to answer your question, we've been building a tremendous target list of climate smart ESG Savvy Investor targets. And we started to have meetings, just here at the end of April and the beginning of May, just a trickle. And in part, because my capacity has been very low as we've been first and foremost getting the business plans solidified completed getting the transactions negotiated all that's been is just falling in place like bricks and foundation. What we will do prospectively? And this is Zach's primary ownership of all of our performance objectives. One of them is to increase our investor base by more than 50%, in other words, our top 30 investors six months from now, nine months from now will not be 30, will be 45. In other words, we're not looking to lose any of our investors. We're looking to add brick-by-brick, ESG savvy people investors who understand IP, who understand markets and who are very interested in high-growth growth at a reasonable price even value. So when you're in junior mining sector alone, it's nice to be environmentally responsible. It's nice to be at the highest end of the social order when it comes to how we treat nature and how we treat the environment, but that's a relatively smaller universe of investors. When you get into growth, when you get into growth at a reasonable price, when you get into value, the universe expands dramatically and you've already seen that just from what happened since February. But some of that was strong reaction to good news, which we're very happy about, we are more interested in building the foundation brick-by-brick right keen investor by keen investor. So we're off to a good start but the work has barely just begun. When I say that, we've had -- we've had two firms and Zach working tirelessly to build the task, to build the target list to prepare. We would like to get the next transaction announced because then we think we're in a different. We're a whole different sector. We're in a whole different level of credibility. And then, we will attract much stronger this expanded base of investors. So we love our existing base. We love what's happened over the last couple or three months, but it's just the beginning establishing foundation for growth. So we have a very calculated notion of getting to $0.5 billion valuation. And we have a very calculated notion of getting to well over $1 billion, once we get to that point. So but we want to be pedantic, we want to be focused. And so, that's our intention. There is a very specific plan for it. And I'm excited about talking to new investors of our new business about revenue, about cash flow.
Zach Spencer: All right. We've had quite a few people on the conference today, who have asked this question and would like to update and maybe just a little more detail. And I think this one summarize the deck. Congratulations on your success with MCU, Philippines. Could you please provide us with an update on the MCU pilot plant on the Comstock?
Corrado De Gasperis: Surely, surely. So I made a comment in advance of answering this question, both about MCU and LiNiCo. In terms of our approach, and you're going to see this consistently in everything that we do. We are very focused right on intellectual property that's different, that's differentiating. And we are very focused on commercializing into cash flow. And we're very focused on protecting our capital as we do it. So in MCUs case, using secured loans to get equity is not so common, right? in LiNiCo 's case, ensuring that if there was somehow a failure, we own assets that are more valuable than the capital that we invested in this case, the state of the art battery metal recycling business. I don't usually like to talk about the downside protection because but I just want people to really understand how meticulous we're be in protecting our assets. As a supportive and excited we are about Tonogold is doing. But they don't succeed. We have secured loans on all the assets. That's how it works. So and they are yielding, they're yielding. LiNiCo pays 8% on our Series A investment, Tono pays a 12% on our secured debt, so that wasn't the question. But I just want to make sure. Some people might be thinking about what's this 3/4 of million dollar 12% bearing loan that you made to PSI? Well, Plain Sight innovation is the tickler for the next acquisition that we're doing, okay. Right now, we've engaged them to engineering and design new tech for LiNiCo, that's above and beyond, what we're already talking about. But I'm working with these people daily right, to get this business up and running. Now back to the question. What was the question Zach?
Zach Spencer: Yes. So the question was, can you tell people about the different types of metal that have been extracted during the pilot plant? And also, how do account sand and gravel?
Corrado De Gasperis: So, on the sand and gravel, so on the mercury work here and on the Comstock, we're doing a tremendous amount of work. Let me say that there is a constraint with the CEO, Paul Clift. He is the designer deploy of these systems and he is in the Philippines working around the clock. Let me preface this answer too by saying, none of these businesses are layout. Okay. None of these businesses are any Tom Dick and Harry can just jump in the business run, there is complexity. But let me using the Philippine example. The sand and gravel demand now that we're ready to produce offsetting is like overwhelming. We've got like four people that want sand and gravel tomorrow. So Paul needed like to acquire to lease to be able to properly separate and prepare the materials. There is nothing to be found. So Paul acquired the metal, Paul acquired the materials and he's welding and building the Grizzlies right now. Now that sounds little weird. But, now, that's the Paul does. He built sophisticated mining equipment and systems, right. But he is literally doing in himself on site in the Philippines. So my point, I wanted to make before answering the question on the Comstock system is that we're committed to every single one of these businesses. But our engineers and our engineering teams actually thrive when there is a hiccup. They thrive when there's an obstacle. They solve it, right? So there will be bumps, there will be bumps in LiNiCo 's development. There'll be bumps in the storage solution. There'll be bumps in how do we deliver sand and gravel. But we're going to commit to getting over every single one of those things to a solution on the Comstock because Paul in the Philippines we're not running the system live right now. And we've got two major activities that are going on here. The first one is we are sampling the heck, out of all sorts of different types of materials. When we ran the pilot in October, November, December, we learned a tremendous amount about what it liked about certain materials and what it didn't like about certain materials. We learned a tremendous amount about the efficacy of the mercury reactor. We learned about the efficacy of the centrifuge, right. So we have like we have two things going on right now. We're sampling the hack out of materials across the spectrum and refining a lock a very, very good mercury amalgams, that when we restart the system should be like ideal for extracting the gold. The gold grades in these mercury amalgams are high, were 10s and '10s and thousands of tons of materials or identifying. They're like clients from what we're doing. We've reopened for what we're doing we reopened our LAP on site our lab, MCU has a lab right next to facility we reopened our lab, the metallurgical lab on the Comstock properties to expand the capacity and we're testing and sampling these materials through our centrifuges into alternatives activities. So we're working very, very hard to perfect the system and that's work that's the pilot on the Comstock is really intended to be, it doesn't have, it can make money at 25 tons per hour, especially with some of the great, we're seeing in some of these samples but it was never designed to do that, right. It was designed to get to a point where we're putting in a diverse series of mercury of immature amalgamate sometimes reprocess cyanide, tailings et cetera. And ensuring that what comes out the other side and I'm saying materials that are way more complex metallurgically than what we're processing in the Philippines. In the Philippines, we have a system capable of handling that current environment the Comstock system is really designed. We can handle any mercury opportunity around the world, because the Comstock has a 150-year of different types of mining experience. It's almost the perfect lab if you will, to do this, right. So we also just got an approval from the Department in Wireline protection to allow us to disburse the water and soils coming out right onto our leach pad. You would think that that would have been something that we'd already had. But this system is designed to be self-contained and it was important for us to test the system with its own water recycling with its own process handling capabilities. Now, we've expanded it so that we could actually do that as well as discharge onto the Comstock leach pad, which gives us more flexibility and how we process various types of different soils. One system will work in one environment. Another system will work in another environment. So it's really great. It's very, very active like Paul has essentially a total Philippine team in the Philippines and then the rest of his team in the U.S. is here, working on the Comstock, Brad, Tom and the rest of the people.
Zach Spencer: Excellent. Well, we're right at the top of the hour. That does it for the questions definitely want to thank everyone who joined us today and I'll turn it back to you Corrado for your closing comments.
Corrado De Gasperis: So I just want to say that we appreciate everyone's interest. If there are more please reach out to us directly as a very high important note. Our Annual Meeting is on June 3rd and we've got a lot of people participating. We're going to have a little showcase aspect to it, where there will be a Comstock geology booth if you will. There will be an MCU boost if you will. There'll be LiNiCo boost if you will and hopefully a lot more news coming for the developments across all of these lines of businesses. Thank you all very much.